Operator: Welcome to Post Holdings' Second Quarter 2016 Earnings Conference Call and Webcast. Hosting the call for today from Post are Rob Vitale, President and Chief Executive Officer and Jeff Zadoks, Chief Financial Officer. Today's call is being recorded and will be available for replay beginning at 12 o'clock PM Eastern Time. The dialer number is 800-585-8367 and the passcode is 88653759 At this time, all participants have been placed in a listen-only mode. It is now my pleasure to turn the floor over to Brad Harper, Investor Relations of Post Holdings for introduction. Sir, you may begin.
Brad Harper - Director-Investor Relations: Thank you and good morning. Welcome to the Post Holdings' second quarter earnings call. With me today are Rob Vitale, our President and CEO, and Jeff Zadoks, our CFO. Rob and Jeff will begin the call with prepared remarks, and afterwards, will be available for a brief question-and-answer session. The press release that supports these remarks is posted on our website at www.postholdings.com in the Investor Relations section and in the SEC filings section. In addition, the release is available on our SEC filings on the SEC's website. Before we continue, I would like to remind you that this call will contain forward-looking statements. These forward-looking statements are subject to risks and uncertainties, which should be carefully considered by investors, as actual results could differ materially from these forward-looking statements. For more information, please visit the SEC filings page in the Investor Relations section of our website. These statements speak only as of the date of this call and management undertakes no obligation to update or revise these statements. All forward-looking statements are expressly qualified in their entirety by this cautionary statement. As a reminder, this call is being recorded for audio replay. And finally, this call will discuss certain non-GAAP measures. For a reconciliation of non-GAAP measures to the nearest GAAP measure, see our press release issued yesterday and posted on our website. With that, I will turn the call over to Rob.
Robert V. Vitale - President and Chief Executive Officer: Thanks, Brad, and thank you, all for joining us. We're pleased to share with you our second quarter results. We had another terrific quarter. Our adjusted EBITDA performance was strong across segments. On a consolidated basis, revenue was $1.3 billion and adjusted EBITDA was $247.8 million. This morning, I will discuss some segment highlights and our strategic outlook. We are making great progress at Post Consumer Brands. Our ERP conversion went as planned and we have started identifying incremental synergies across logistics, warehousing, and distribution. In our press release, we announced $25 million in additional cost synergies, which we expect to be realized by the end of fiscal year 2018. The initial $50 million in annualized run-rate synergies continue on track to be realized by the end of this fiscal year. Recall last quarter, we increased corporate-wide planned spending by $25 million targeted towards brand building and cost reduction projects. Approximately $8 million was incurred in this quarter. The majority of the remaining $17 million is for Post Consumer Brands, and will hit in the second half of fiscal 2016. Our outlook on the ready-to-eat cereal category remains unchanged. The category declined this quarter 2% in dollars and 2.5% in pounds, and was pressured by softness primarily in the food and mass channels. Base dollars and pounds were down slightly; incremental sales remained soft and weighed on category volumes as merchandising support to the category was reduced. In general, we are encouraged to see sales mix shifting to base from promotion. In the long-term, we think this is healthy for the category and is beneficial for us as we have historically under indexed on our fair share of promotion. Specific to Post, our consumption dollars declined 1.9% and pounds declined 3.1% for the quarter. We are particularly focused on the support of our core four brands, Honey Bunches of Oats, Pebbles, Great Grains, and the Malt-O-Meal branded bags. We saw consumption dollar and pound growth for three of our core four. The exception was Honey Bunches of Oats, where base volume growth of 2.5% did not fully offset incremental volume declines of 15% compared against heavy merchandise period last year. Pebbles and our main Great Grains products continue to see solid consumption growth with pounds growing 5.8% for Pebbles and 2.8% for these Great Grains products. We are focusing the Great Grains brand on our four core SKUs and reducing support from ancillary SKUs. Malt-O-Meal branded bags had good dollar consumption growth of 2.8% and volume consumption growth of 0.2%. This result was achieved despite lapping a prior year that had heavier consumption of smaller, trial-size bags. In general, consumption base sales for Post Consumer Brands were flat, while higher promoted prices reduced incremental consumption. Michael Foods had a very good quarter. Our repopulation efforts continue following last year's outbreak of avian influenza. Our own farms have resumed operations and we expect them to reach full output levels during our fiscal third quarter. Third-party contracted farms continue to repopulate, and we expect them to reach full production capacity by the end of calendar 2016. Recall that as egg supply returns, we're in the process of reversing the temporary portion of incremental AI pricing. Our business has shifted towards higher margin channels and products benefiting margins. We expect mix to remain favorable in comparison to our pre-AI mix. Turning to Active Nutrition, Premier Protein performed exceptionally well this quarter, with shake sales up over 50%. Premier continues to have strong growth in the club channel and is showing great growth in food, drug and mass through expanded distribution. The PowerBar renovation is underway with new ingredients, new products and new packaging. We continue to ramp our production with our co-manufactures for Dymatize, recall that we intentionally shrank Dymatize to its core product lines. Inventory for two of the three core product lines has returned to normal levels. In fact, revenue for the three core product lines increased 23% sequentially. Our expectations for fiscal 2016 continue to be modest as we shifted marketing dollars to the second half the year to support the brand. We're quite encouraged with our portfolio performance. You may have seen from our press release that we increased guidance to reflect the ongoing strength of the business. The remaining quarters in 2016 are now expected to average between $205 million and $215 million in adjusted EBITDA, versus our prior guidance, which implied an average of between $192 million and $202 million. In raising our guidance last quarter, I commented that our initial perspective on fiscal 2017 is that we would expect to grow from that guidance. Our view now and recognize that we remain in the very early stages of planning for fiscal 2017, remains that we will see growth from 2016 to 2017. This growth results from incremental synergy realization in cereal, ongoing growth in Premier Nutrition, the realization of this year's turnaround efforts at Dymatize, and organic growth in Private Brands. These benefits will likely be offset by a decline in our Michael Foods egg business where we expect to see volume increases and pricing declines. On the M&A front, despite a period of quiet we're no less busy. We continue to be actively engaged in reviewing opportunities and remain committed to complementing our organic growth with strategic and tactical M&A. With that, I will turn the call over to Jeff.
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: Thanks, Rob. Good morning. Starting with Post Consumer Brands, second quarter sales were $440.1 million. On a comparable basis, sales increased nearly 1%, with volumes declining approximately 2%. Volume increases from Malt-O-Meal branded bags, Pebbles and co-manufacturing were offset by declines for MOM boxes, quarterly bid business, Great Grains, Shredded Wheat and Grape-Nuts. Net pricing increased 2.7% on a comparable basis and was partially offset by unfavorable mix associated with larger package sizes on Post-branded products and higher co-manufacturing volumes. Post Consumer Brands' adjusted EBITDA was $106.3 million for the quarter. Adjusted EBITDA benefited from synergy savings, higher average net sales prices and slight improvement in raw material and freight costs. This was partially offset by increased advertising and consumer spending, which was related to the incremental corporate-wide investments targeted to brand building. Moving to the Michael Foods Group; net sales were $557.7 million for the second quarter. On a comparable basis, net sales decreased 2.2%. As expected because of the impact of AI, our egg volumes were down approximately 16% on a comparable basis. However, egg volume, excuse me, egg revenues declined only 2.8% behind AI-related price increases and favorable product mix. As with the first quarter, an attractive price cost relationship and favorable product mix resulted in improved profitability and margins for our egg business. Reductions in AI-related price increases are underway. Across potato, cheese and pasta, we also experienced improved product mix. We exited lower-margin business in potatoes and cheese and gained private label and food ingredient volumes in pasta. In all three businesses, we benefited from disciplined pricing strategies and favorable cost-price relationships. Michael Foods Group adjusted EBITDA was $121.9 million and benefited from the acquisition of Willamette Egg Farms, increased profitability per pound in egg and cheese, and higher volumes in pasta. While total advertising and promotion expenses were lower for the segment, we made incremental investments in retail potato advertising and promotion. Turning to Active Nutrition, sales were $143.8 million and increased 11.6% on a comparable basis. Sales for Premier Protein shakes grew more than 50%, driven by consumption growth in club and distribution gains in FDM. Dymatize sales, as anticipated, declined significantly as a result of reduced product supply related to the ramp up of production and co-manufacturers and our strategy to narrow the scope of the product portfolio. Active Nutrition adjusted EBITDA was $20 million and benefited from higher non-promoted volumes and lower raw material costs at Premier and manufacturing savings associated with the PowerBar facility closure. Moving to Private Brands, second quarter net sales were $129.7 million, an increase of 3.8% over the prior year. The sales increase was driven by increased volumes for organic peanut butter, regular peanut butter, and dried fruit and nut products. This was partially offset by reduced volumes for tree nut butters, as we are lapping a period in which certain tree nut butter customers moved to dual sourcing. Private Brands' adjusted EBITDA was $13.9 million and benefited from increased volumes. This was offset by higher manufacturing costs, unfavorable foreign exchange rates and losses on write-downs of idle fixed assets. Before moving to our guidance, I'd like to comment on our interest rate swaps and our net leverage position. Although the majority of our debt is at fixed rates, we have two interest rate swaps with an aggregate notional amount of $1.6 billion in place to hedge a portion of the interest rate exposure related to the future refinancing of the fixed rate debt. During the second quarter, we incurred a non-cash mark-to-market loss on these swaps of $90.9 million, as long-term interest rates fell significantly. However, we also saw a significant appreciation in the trading value of our outstanding fixed rate bonds, indicating the potential for lower refinancing cost, and that the hedges are working as intended. The swaps mature primarily in late fiscal 2018 and early fiscal 2020. Regarding leverage, our strong operating performance over the past four quarters has reduced our net leverage, as measured by the terms of our credit facility, and giving full credit for our cash on hand, to 3.9 times. At this net leverage level, we have significant secured and unsecured debt capacity to pursue new M&A opportunities. Now turning to our outlook; we expect adjusted EBITDA for the second half of fiscal 2016 to be between $410 million and $430 million, including $17 million in incremental expenses aimed at brand building, and driving additional cost savings. Our adjusted EBITDA guidance for the full fiscal year is between $893 million and $913 million. With that, I would like to turn the call back over to the operator for questions. Operator?
Operator: Your first question comes from John Baumgartner with Wells Fargo.
John Joseph Baumgartner - Wells Fargo Securities LLC: Good morning. Thanks for the question.
Robert V. Vitale - President and Chief Executive Officer: Hey, John.
John Joseph Baumgartner - Wells Fargo Securities LLC: Rob, I'd like to ask for Active Nutrition, can you speak to the margin upside there year-on-year? How much of it was from favorable commodity moves versus maybe shift in promo timing, and then I guess, maybe building and also any structural benefits from the facility closure there?
Robert V. Vitale - President and Chief Executive Officer: Well, it's all of the above and a little bit more. We benefited from protein costs, we benefited from some favorability of timing and promotions, but I think more structurally, what we're seeing is, as the scale of the shake business expands some benefits to being able leverage that scale across procurement and across manufacturing, more specifically, co-mans. So, as the business grows and obtains scale, it just becomes a structurally more attractive business.
John Joseph Baumgartner - Wells Fargo Securities LLC: Okay. And then in Premier, how are you navigating the break-in in channel exclusivity there, and how is the club channel reacting to the move into FDM?
Robert V. Vitale - President and Chief Executive Officer: Well, we're navigating it with different pack sizes, different pricing strategies and different value propositions, so that we tailor each of the product offerings to what drives the consumers on a channel-specific basis.
John Joseph Baumgartner - Wells Fargo Securities LLC: Okay. And then just lastly, in terms of Michael, for the potato business, we've seen some acceleration in the sales growth in the Nielsen data for the last couple of quarters. Can you speak a little bit about to your strategy there or expectations more into the retail part of that business going forward?
Robert V. Vitale - President and Chief Executive Officer: Yes, we've had new launches around our cut products, and we put some incremental advertising dollars into the Simply Potatoes brand, part of the $25 million that we talked about adding last quarter and a meaningful portion of what hit and the $8 million this quarter that we talked about went to the Simply Potatoes brand. So we're looking to grow that with some meaningful investment at retail.
John Joseph Baumgartner - Wells Fargo Securities LLC: Great. Thank you.
Robert V. Vitale - President and Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Jason English with Goldman Sachs.
Jason English - Goldman Sachs & Co.: Hey. Good morning, folks.
Robert V. Vitale - President and Chief Executive Officer: Hi, Jason.
Jason English - Goldman Sachs & Co.: Thank you for letting me ask a question. Congratulations on another strong quarter.
Robert V. Vitale - President and Chief Executive Officer: Thank you.
Jason English - Goldman Sachs & Co.: I'm somewhat embarrassed to admit that I'm having – I'm struggling a bit to try to figure out how best to model the Michael Foods division on a go forward, particularly as we enter this sort of glide path back to normalcy in the market? So, I'm looking for some help on that front. Can you help us understand sort of the puts and takes on a go forward? I think my memory could be a little foggy, last quarter, you suggested maybe there's $20 million of over earnings, suggesting maybe normalized EBITDA for that business on a quarterly run rates closer to a $100 million, is that a still reasonable rule of thumb? Anything you can add on that topic as we think about the forward for that business would be greatly appreciated.
Robert V. Vitale - President and Chief Executive Officer: Yeah. And we recognized that, that's a bit opaque, and we'll try to help a bit, but probably won't eliminate all the opaqueness. I think the best way to look at it is on a portfolio basis. And look to our second half guidance as a more normalized level of performance than is our first half, recognizing that we've got some incremental spending in both first and second half at various degrees. So, if you start to annualize both our first and second half and compare the two, it's an imperfect proxy because there are give-and-takes with respect to synergy realization, growth in Active Nutrition and other areas, but that gives you a starting point proxy for trying to get to the understanding you're trying to reach.
Jason English - Goldman Sachs & Co.: That's helpful. And obviously the comments made earlier about the expectation of continued growth next year implies by nature is that a $4.10 to $4.30 sort of half year run rate is expected to be exceeded as you go through next year. Can you just at a higher level outlying some of those drivers of growth?
Robert V. Vitale - President and Chief Executive Officer: Well, so let me reiterate. As I mentioned in the comments that our planning cycle is early, our planning cycle occurs in our fourth quarter. So, what we are now doing is really more along the lines of developing context towards 2017. So, nothing in that should be construed as guidance for 2017.
Jason English - Goldman Sachs & Co.: Understood.
Robert V. Vitale - President and Chief Executive Officer: So, with that as context, we look to enter 2017 with some difficult Michael comps given the dynamic of 2016 offset by annualization of realized synergies in cereals, incremental synergies in cereals. The reversal of the unusual A&C level that we talked about already and the reversal of superior performance level incentive payouts. So, as we enter into 2017, we have some gives and takes that don't even then start to factor in the strength of the business categories above norm growth in Active Nutrition and some growth opportunities in private brands. So, said another way, we look to fiscal 2017 to have a risk and opportunity balance that looks to us to support the sustainability of the aggregate portfolio, EBITDA, even while some of the individual company performances may not be sustainable.
Jason English - Goldman Sachs & Co.: That's helpful color. Thank you. I'll pass it on.
Operator: Your next question comes from Andrew Lazar with Barclays.
Andrew Lazar - Barclays Capital, Inc.: Good morning everybody.
Robert V. Vitale - President and Chief Executive Officer: Hey, Andrew.
Andrew Lazar - Barclays Capital, Inc.: One follow-up there and then another question. When you say reversal of some of the – I guess some of the brand-building spend this year. Does that mean that remains in the budget at that level next year or may not need that incremental $25 million in next year?
Robert V. Vitale - President and Chief Executive Officer: So we entered 2016 with a fully-loaded A&C budget and added $25 million to it and it's not quite the totality of $25 million going in A&C, but the bulk of it did. So what I'm indicating is next year, we would view that as cushion and look to next year's business performance to decide whether to spend it or not, but that it is above the normative level of spending.
Andrew Lazar - Barclays Capital, Inc.: Got it. And then getting back to just Michael for a minute, I guess, maybe to ask you a different way, if previously maybe there is $20 million or so that you kind of felt like you needed to, let's say, make up for make up for in the rest of the business as you went into fiscal 2015, what – or broadly, what would that level maybe be now given the outperformance in 2Q and what you're looking for in the back half at Michael, that you kind of feel like the rest of the business needs to make up for, so to speak, in 2017 to get you overall EBITDA growth in 2017?
Robert V. Vitale - President and Chief Executive Officer: We're not going to drill down further into the specifics of Michael than to guide to – guide you to look at again, as I mentioned to Jason, the first and second half performance recognizing that a large portion of that delta is driven by Michael.
Andrew Lazar - Barclays Capital, Inc.: Got you. And then the last thing would be, any way for us to get a sense of even directionally maybe how much more profitable on a kind of centerline basis Michael would be coming out of AI than it was going into AI? I don't know whether it's a cents-per-pound metric or – margin may not be the best way, I understand. But trying to get a sense of where that is, because I know there was a pretty significant shift in sort of customer makeup and such.
Robert V. Vitale - President and Chief Executive Officer: Again, because of where we are in the planning cycle, we don't want to precisely answer that question, but we can give you a directional arrow that says, because of the shift in mix and because of some of the incremental cost around biosecurity that the margins will be higher, but we don't want to put a stake in the ground yet in terms of where that margin structure will land.
Andrew Lazar - Barclays Capital, Inc.: Got you. Thanks very much.
Operator: Your next question comes from the line of Chris Growe with Stifel.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Hi. Good morning.
Robert V. Vitale - President and Chief Executive Officer: Hey, Chris.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Hi. I don't want to be rude on here, but I did want to ask the question and then I think Andrew got to the question I wanted to ask, essentially. But could you say, maybe this way, what the profit per pound at Michael Foods was in the first half of the year?
Robert V. Vitale - President and Chief Executive Officer: The profit per pound at Michael Foods was...
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: The egg business was in...
Christopher Growe - Stifel, Nicolaus & Co., Inc.: I'm sorry, the egg business, of course, yeah, yeah.
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: ... in excess of $0.30 a pound.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay. And your historical average had been more like $0.15 a pound, is that right?
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: $0.15, $0.16 a pound in aggregate.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: In history, in aggregate. Okay. Thank you. And then I thought maybe related to that, I know there has been a – there was a little avian flu outbreak recently, just is there any update in terms of avian flu that you've heard of any other instances of that occurrence?
Robert V. Vitale - President and Chief Executive Officer: No. first, that was a low path outbreak.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Yeah.
Robert V. Vitale - President and Chief Executive Officer: Last year, it was high path which was the particularly harmful strain. And that's the only one we've heard about.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay. And I just had a question in relation to Active Nutrition and just to understand how the Dymatize business is progressing. Did it have a positive EBITDA contribution this quarter? It's hard to discern within how much Premiere's contributing versus, say, Dymatize. And I understand how there's costs associated with moving to third-party suppliers, just to get a sense of where that business stands within Active Nutrition.
Robert V. Vitale - President and Chief Executive Officer: It was essentially breakeven. The volume growth was attractive sequentially, but still remains well below last year given the decision to walk away from what was mostly a private label and co-manufacturing business, but the performance in the quarter was breakeven and that's in part driven by heavy spending on re-launching the brand.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay. And then just one quick follow-up if I could, which is you mentioned, call it, incentive compensation, a bit of a reversal next year, is that right? So is that up a lot this year? Have you talked about how much that could be working against EBITDA in 2016?
Robert V. Vitale - President and Chief Executive Officer: We have not given that number and that number is not finalized yet, but as we hit these outsized levels of performance, it triggers higher bonus levels that would naturally reverse next year as we reset bonus targets.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay. That's very helpful. Thanks for your time.
Robert V. Vitale - President and Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Cornell Burnette with Citi.
Cornell R. Burnette - Citigroup Global Markets, Inc. (Broker): Hey. Good morning and congratulations on the quarter.
Robert V. Vitale - President and Chief Executive Officer: Thank you.
Cornell R. Burnette - Citigroup Global Markets, Inc. (Broker): Just want to just go back to Michael Foods quickly. I have one last question, obviously with everything going on with AI and the premium pricing you are getting, we're seeing the EBITDA margins obviously explode to like 20%. I think historically, over the past five years, they have been consistently between 13% to 15%. As we move forward, is kind of that historical level maybe on the higher side of 15% more of the right way to think about the business?
Robert V. Vitale - President and Chief Executive Officer: Yes, so that back goes back to, I think it was Andrew, who was asking about where it lands and directionally above history, but certainly well below current.
Cornell R. Burnette - Citigroup Global Markets, Inc. (Broker): Okay. And then, if I can move on to cereal, 2.7% price increase in the quarter I think is pretty remarkable given the commodity environment. Just want to know kind of what drove that pricing increase within the portfolio. What's the behavior like in the cereal category? And how do you see kind of pricing laying out going forward?
Robert V. Vitale - President and Chief Executive Officer: I would characterize it not so much as a 2.7% price decrease, but walking away from some very inefficient spending on trade promotion. So trade promoted volumes were down pretty substantially. So it really is more a reflection on the mix between promoted sales and baseline sales.
Cornell R. Burnette - Citigroup Global Markets, Inc. (Broker): And is this something you are seeing broadly amongst your competitors in the categories?
Robert V. Vitale - President and Chief Executive Officer: I would extend that beyond cereal to say more broadly in CPG, it appears that there's just less, as a result of less effective trade spending, some of that is coming down and the shift is moving from increment to baseline and it's generally a healthy trend.
Cornell R. Burnette - Citigroup Global Markets, Inc. (Broker): And then one last question, I know you gave some numbers surrounding the synergies, but just you kind of talked about things on a run rate basis, but just in terms of incremental, what are the incremental MOM synergies that are baked into the budget for F 2017 over synergies captured in F 2016?
Robert V. Vitale - President and Chief Executive Officer: We're not going to go into specifics on 2017 details. I was highlighting more conceptually that synergies realized throughout the year will have a annualization impact in 2017, because they were realized not all on October 1 of 2015. So it's merely a timing issue of when they flow through the P&L. As we get into planning for 2017, we'll give more detail and have more detail around that, but I really don't want to go into specific line item discussions on fiscal 2017.
Cornell R. Burnette - Citigroup Global Markets, Inc. (Broker): But I would say so there's kind of the carryover from cost initiative projects that were implemented in F 2016, but then there will also be the addition of kind of some of the new upsized projects that will flow into F 2017 as well.
Robert V. Vitale - President and Chief Executive Officer: That's right. The annualization of that which has already been realized, plus realization of the increment.
Cornell R. Burnette - Citigroup Global Markets, Inc. (Broker): Okay. Thanks a lot, guys. I'll pass it on.
Robert V. Vitale - President and Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Tim Ramey with Pivotal Research Company.
Timothy S. Ramey - Pivotal Research Group LLC: Thanks so much and congratulations.
Robert V. Vitale - President and Chief Executive Officer: Hey, Tim.
Timothy S. Ramey - Pivotal Research Group LLC: On just blowing us all away.
Robert V. Vitale - President and Chief Executive Officer: Thank you.
Timothy S. Ramey - Pivotal Research Group LLC: So, a couple of things. I'm sure you have this model on your desk every day, Rob, looking at kind of the notional value of the interest rate swap versus its perceived benefit, and you're never shy about taking a cost if it will improve down the road cash flow. What does it look like to think about exiting the swap, paying the penalty, buying that back and moving on, or is that just too hard to figure out?
Robert V. Vitale - President and Chief Executive Officer: No. It's not hard to figure out at all in that, so let's divide it into two different areas. One is the purpose of the swap was to hedge re-financed risk related to our bonds that become callable next year and have call dates thereafter on a consistent basis. From a perspective of the hedge, the bond, the swaps are working as intended. If you track the value of our bonds versus the marks they are highly correlated as exactly as you'd expect them to be. So the second part of your question then becomes more of a trade. What is the best time to execute a trade and once we do that, we've started breaking the hedge nature of the transaction and moved it into a trade, which we tend to not do. And the question of that trade is, what do we think about interest rates going forward from this point in time? We would be breaking that hedge, turning into a trade at a pretty low point on the interest rate cycle, and thus far we've been pretty poor prognosticators of interest rates. So, for the time being, we are going to continue to treat it as a hedge unless something fundamentally changes on our interest rate outlook that makes us think we are entering a pervasive deflationary environment. And that, that market is going to grow in a manner that won't be reflected in a corresponding increase in the value of our bonds.
Timothy S. Ramey - Pivotal Research Group LLC: And presumably the increasing value of your bonds takes away some of the risk on refinance that has to come into the equation as well. Correct?
Robert V. Vitale - President and Chief Executive Officer: Yeah. And when I talk about the increasing value of our bonds, I'm using, of course, the inverse of that as our new issuance costs.
Timothy S. Ramey - Pivotal Research Group LLC: Right. And then just back on MFG for a minute. You've emphasized mix and I think it's – you've talked about reducing the customer list, dramatically reducing the ingredient egg portion. It strikes me that the piece many of us seem to be missing is how powerful that is to the improvement in margins rather than just the particular margin that you might charge any one QSR. Can you elaborate at all on that?
Robert V. Vitale - President and Chief Executive Officer: Only to reinforce my earlier comments that directionally that theme is quite correct. But that we're not going to put a finer point on it until we're closer to our 2017 planning and have a better sense of where the channel mix lands and what the pricing environment is.
Timothy S. Ramey - Pivotal Research Group LLC: Okay. And then just any update on – as you talk about maybe entering fiscal 2017, will the mix of company-sourced eggs versus contract eggs change versus historical. It seems reasonable that it might actually shift a little bit towards companies that I might be wrong on that?
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: No, we'd expect to get back to the mix that we had before, which is about 75% external 25% internal. Right now, we're buying more on the market than we historically would have and we would expect to move more back to grain-based supply, when all the farms are back online.
Timothy S. Ramey - Pivotal Research Group LLC: Okay. Terrific. Thank you so much.
Operator: Your next question comes from Bill Chappell with SunTrust.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Thanks, good morning.
Robert V. Vitale - President and Chief Executive Officer: Hi, Bill.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Hey, just a couple of quick questions on, one on private brands on the margins going down year-over-year, maybe I don't really understand that, but was that not adjusted out for the losses on kind of restructuring or the plant closure? Or how should I look at that going forward?
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: The primary driver of the margin decline for private brands is a mix related issue. So the – we commented about the lower volume on nut butter, so almond butter, cashew butter, which tend to have a higher margin. We've replaced a lot of that volume with more traditional peanut butter, which while nicely profitable has a lower margin structure than the more premium nut butters.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: So I should look at it like this going forward?
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: Well, obviously, we're going to continue to work on increasing our mix back to the more premium products, but there is more competition in the market that we need to work through.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Okay. And then tax rate we should be looking at going forward?
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: That's our favorite question, so the GAAP tax rate is really not very helpful for modeling purposes because it fluctuates dramatically from quarter-to-quarter, in our case because of the fact that we're near breakeven sometimes with some of these mark-to-market adjustments.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Right.
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: So, I think the best guidance we can give you from a cash tax perspective is to use the guidance we provided previously and as profit is incrementally higher, apply a 35% tax rate to the increment of that profit.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Okay. And then last one, just in general, Rob. How are you looking at kind of the cereal business going forward and when I say that, I mean, what's internally deemed as good? Is it 1% growth, is it 1% decline, is it flat, because basically you have a lot of moving parts and different focus but – and there's going to be volatility in a quarter, but I just don't know from a focus standpoint, when do say, wow, that was – we're just like we want or this is below plan?
Robert V. Vitale - President and Chief Executive Officer: So, I am not going to respond to good or bad, I'll give you an answer in terms of how we look at it from a perspective of our long-term planning and that's to have a zero volume rate of change. And that growth in cereal is about mix management and cost reduction over time and that's the elegance of the MOM Post Foods combination.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: So, this quarter would be good or bad?
Robert V. Vitale - President and Chief Executive Officer: This quarter would – at roughly zero would be in line and I'm looking mostly at base rather than increment.
William B. Chappell - SunTrust Robinson Humphrey, Inc.: Perfect. Thanks so much.
Operator: Your next question comes from the line of Ken Zaslow with Bank of Montreal.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Hey, good morning, everyone.
Robert V. Vitale - President and Chief Executive Officer: Good morning, Ken.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Just a couple of questions. One is, where are you actually finding the additional synergies from MOM and what is the process to continue to reveal or find these additional synergies?
Robert V. Vitale - President and Chief Executive Officer: So, if you create four buckets of activities, administer, sell, make and move. We today focused on administration and sales as the source of synergies, and then more complicated bucket of synergies are in the make and move. So now with the ERP conversion behind us, what we're able to do is focus on the physical aspects of the business, such as the number of distribution centers, location of those distribution centers, optimizing productions planning across platform technologies to maximize throughput, things that are more complicated with respect to moving the site of distribution or the site of production. So, that's why, it has taken us longer to articulate them, and will take a little bit longer to deliver them.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): But you are still working on them, so there is a logical conclusion that there may be more to come, rather than less to come?
Robert V. Vitale - President and Chief Executive Officer: Well, hopefully you all recognize that we tend to err on the side of caution. So, we're giving you the most appropriate number we can give within the context of looking at the risks and opportunities inherent in this process. At some point, Ken, we will stop talking about synergies and just look at total cost, because we are very diligently focusing on cost, and if it's the result of the merger, great, but if it's a cost reduction that could have been achieved by either company on a standalone basis, while tactically not a synergy, it has the same effect. So, we don't expect to talk more about synergies, once we get through this next implementation, what we intend to talk about is ongoing cost reduction.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Is there a possibility to start reviewing revenue synergies or is that something that is not really part of the game plan, how do you think of that?
Robert V. Vitale - President and Chief Executive Officer: Well, as we've mentioned previously, we will not be on a combined trade management tool until early in fiscal 2017, and the way to optimize our – the effectiveness of our merchandising and promotion partnerships with our trade customers is by combining our trade analytics on to one tool and looking across portfolio. Whether that will result in better efficiencies or not, time will tell, but we're not baking that into any planning. We certainly are hopeful that that will produce positive results, but nothing we have done was predicated upon it.
Kenneth Bryan Zaslow - BMO Capital Markets (United States): Great. Appreciate. Thank you.
Robert V. Vitale - President and Chief Executive Officer: Thank you.
Operator: Your next question comes from the line of Bryan Hunt with Wells Fargo.
Bryan C. Hunt - Wells Fargo Securities LLC: Maybe just to beat a dead horse. So when you talked about moving product, logistics, warehousing, distribution, that associated with your ERP implementation, that's the additional $25 million or I'm just making sure I'm correlating the correct information.
Robert V. Vitale - President and Chief Executive Officer: You are.
Bryan C. Hunt - Wells Fargo Securities LLC: Okay. Great. Next, because most of my questions have been answered, two easy ones. A lot of packaged food companies have been talking about their commodity basket improving as we've gone through the last couple of quarters. Can you give us a better understanding of maybe what your back half looks for your commodity basket and any initial look into 2017?
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: So for the cereal business, we previously commented that on a 2015 to 2016 basis that our basket of commodities was a modest unfavorable. As the year has progressed, that modest unfavorable has turned into a slight favorable. So, it would be fair to say that the commodity impact in the second half of the year should be slightly favorable to the first half of the year. The other pocket of commodity that falls to the bottom line significantly is in our Active Nutrition business, where on the Premier side, we're benefiting from lower milk protein, and that we expect to continue through the remainder of 2016. On the Dymatize side, we're not benefiting because we're working through a contract that was at higher prices that had long volumes on it. In terms of 2017, although it's early, our current view, which is always subject to change as you know, but our current view is that the grain outlook is benign, so we would expect that the low commodity environment we are currently in will continue, and same would be true for energy. And to a lesser extent, but into the beginning of 2017, we also see the low milk protein continuing as well.
Bryan C. Hunt - Wells Fargo Securities LLC: And on the nut side, I mean do you pass through most of your stuff on private label because I mean tree nut prices have dropped precipitously?
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: Yeah. So, tree nuts, the biggest fall through benefit for us is on the cereal side, because of the significant almond buy that we do. So that is a favorable component in the outlook into 2017. It's about 50/50 in terms of the benefit on the nut butter business, because there is quite a bit of pass through pricing in that business.
Bryan C. Hunt - Wells Fargo Securities LLC: And then my last question and Rob you've touched on your bond prices more than once. Your implied bond pricings and your credit metric improvement has been material and it would imply that the ratings agencies have you all misrated by a notch or two. Can you talk about your most recent discussions with them or do you have a planned discussion with the agencies anytime soon?
Robert V. Vitale - President and Chief Executive Officer: Go ahead, I'm sorry.
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: We talk to the agencies on a regular basis. I would describe their view as they are pleased with the improvement in the credit profile, but are hesitant to make any ratings changes because they understand that part of our strategy is ongoing M&A and to flex our leverage as we do M&A. So they're hesitant to make an upgrade only to be followed by a downgrade as we go through that M&A cycle, but they certainly are viewing the current trends favorably.
Bryan C. Hunt - Wells Fargo Securities LLC: Thank you for your time.
Operator: Your next question comes from the line of Heather Jones with BB&T Capital Markets.
Heather Lynn Jones - BB&T Capital Markets: Good morning. Congratulations on the quarter.
Robert V. Vitale - President and Chief Executive Officer: Thank you, Heather.
Heather Lynn Jones - BB&T Capital Markets: I had a quick question on the cereal business. I was wondering when we should see in the numbers like you cycling the shift from incremental to base. I guess more just like I think about it when we should start to see flat volumes and you get that mix to where you want it to be.
Robert V. Vitale - President and Chief Executive Officer: The heavy promoted period should cycle through this quarter, this quarter being our third fiscal quarter.
Heather Lynn Jones - BB&T Capital Markets: Okay. Perfect. And how much is co-pack? I would assume that has – maybe I'm – it's a wrong assumption. But does that have a depressive effect on price mix, but more than offset by what is helping on the volume side? Is that how we should think about that?
Jeff A. Zadoks - Senior Vice President and Chief Financial Officer: Yes, it absorbs some fixed costs.
Heather Lynn Jones - BB&T Capital Markets: Okay. And then going back to something you said earlier about biosecurity costs. So, higher biosecurity cost, you mentioned that being helpful to margins. Is it basically not only – you're passing more through more than what it's really costing, because basically to compensate you for the hassle of increased security. Is that how we should think about it?
Robert V. Vitale - President and Chief Executive Officer: I think you should think about it more in a holistic sense that as we have increased state-of-the-art biosecurity and we have that as a competitive advantage given the size of the business and the reliability of the supply that that suggests that there will be potential opportunities to earn from that increased value proposition, not specifically that it's like a cost plus pricing.
Heather Lynn Jones - BB&T Capital Markets: I see. And given the biosecurity measures you've put in place, I mean, do you feel like you're – Michael Foods specifically, feel like protected against further outbreaks or do you think there needs to be more diversification in where your flocks are located, et cetera?
Robert V. Vitale - President and Chief Executive Officer: Well, certainly the only way that we will ever know that with certainty is if there is a significant outbreak and then to test how we are impacted by it. I think if we all have our druthers, we will never have good insights into that answer.
Heather Lynn Jones - BB&T Capital Markets: Okay.
Robert V. Vitale - President and Chief Executive Officer: The diversification of a flock is something that we have, somewhat tiptoed into, because diversification also has a pricing – or a costing implication that is negative. So we are regularly reviewing that very question, not only in the context of biosecurity, but in the context of this ongoing migration to cage-free.
Heather Lynn Jones - BB&T Capital Markets: Okay. And my final question is, you mentioned this mix shift to higher value add, is that business you already have won or is it just that you're anticipating your win because of all of these advantages you noted like biosecurity, dependability et cetera?
Robert V. Vitale - President and Chief Executive Officer: So, it's a little bit of both in that, it's business that we have. But to say, we won anything is not realistic, because we haven't had supply – the whole industry hasn't had supply. So, it's the residual business shrunken from pre-AI levels and the anticipated reemergence in a somewhat different mix construct.
Heather Lynn Jones - BB&T Capital Markets: Perfect. Thank you so much.
Robert V. Vitale - President and Chief Executive Officer: Thank you.
Operator: We have reached allotted time for questions. I'll now turn the floor back over for any closing remarks.
Robert V. Vitale - President and Chief Executive Officer: So, thank you everyone again, and we look forward to talking to you in August. Have a nice weekend.
Operator: This concludes Post Holdings' second quarter 2016 earnings conference call and webcast. You may now disconnect your lines.